Operator: Thank you for standing by, and welcome to the Mettler-Toledo Second Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background. After the speakers’ remarks there will be a question-and-answer session [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. Thank you. I'd now like to welcome Adam Uhlman, Head of Investor Relations to begin the conference. Adam over to you.
Adam Uhlman: Thanks, Paul, and good morning, everyone. Thanks for joining us. On the call with me today is Patrick Kaltenbach, our Chief Executive Officer; and Shawn Vadala, our Chief Financial Officer. Let me cover some administrative matters. This call is being webcast and is available for replay on our website at mt.com. A copy of the press release and the presentation that we will be refer to today is also available on our website. This call will include forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties, and other factors that may cause our actual results, financial condition, performance, and achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our recent Annual Report on Form 10-K and Quarterly and Current Reports filed with the SEC. The company disclaims any obligation or undertaking to provide any updates or revisions to any forward-looking statements, except as required by law. On today's call, we may use non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measure is provided in the 8-K and is available on our website. Let me now turn the call over to Patrick.
Patrick Kaltenbach: Thanks, Adam, and good morning, everyone. We appreciate you joining our call today. Last night, we reported our second quarter financial results, the details of which are outlined for you on Page 3 of our presentation. Our team continued to execute well and deliver better-than-expected results in the second quarter, including good growth in Laboratory sales in Europe and Americas. As expected, market conditions in China remained weak in both our Laboratory and industrial businesses. We continue to benefit from our productivity and margin initiatives, which helped mitigate the impact of foreign exchange headwinds and protect our earnings. Looking to the remainder of 2024, market conditions are soft, particularly in China. However, we expect our local currency sales to return to growth in the second half of the year, primarily due to easier comparisons as well as execution of our Spinnaker sales and marketing program and leveraging our innovative product portfolio. We remain focused on continuing to strengthen our company for the future and believe we are in an excellent position to continue to gain market share and deliver future growth. Let me now turn the call over to Shawn to cover the financial results and our guidance, and then I will be back with some additional commentary on the business and our outlook. Shawn?
Shawn Vadala: Thanks, Patrick, and good morning, everyone. Sales in the quarter were at $943.8 million, which represented a decrease in local currency of 2%. On a U.S. dollar basis, sales declined 4% as currency reduced sales growth by 2%. On Slide number 4, we show sales growth by region. Local currency sales grew 6% in Europe; 2% in the Americas; and declined 13% in Asia Rest of the World. Local currency sales decreased 23% in China in the quarter. On Slide number 5, we show sales growth by region for the first half of the year. Local currency sales declined 1% for the first six months with 6% growth in Europe; 2% growth in the Americas; and an 11% decline in Asia Rest of the World. Local currency sales decreased by 21% in China on a year-to-date basis. As a reminder, our first quarter sales benefited by 6% from recovering delayed product shipments, which is a 3% benefit to our year-to-date results. Excluding this, our local currency sales declined 4% on a year-to-date basis. On Slide number 6, we summarize local currency sales growth by product area. For the quarter, Laboratory sales increased 1% and Industrial decreased 5% with core industrial down 9% and Product Inspection up 3%. Food Retail declined 12% in the quarter against significant project activity last year. The next slide shows local currency sales growth by product area for the first half. Laboratory sales increased 1% and Industrial decreased 3% with Core Industrial down 5% and Product Inspection up 1%, Food Retail decreased 10%. Let me now move to the rest of the P&L, which is summarized on Slide number 8. Gross margin was 59.7%, an increase of 30 basis points on positive price realization as positive price realization was partially offset by lower volume. R&D amounted to $45.8 million in the quarter, which is a 2% decrease in local currency over the prior period. SG&A amounted to $235.8 million, a 4% increase in local currency over the prior year and includes higher variable compensation. Adjusted operating profit amounted to $284.1 million in the quarter, an 8% decrease. Unfavorable foreign currency was a headwind to adjusted operating profit of approximately 2%. Adjusted operating margin was 30%, which represents a decrease of 130 basis points over the prior year. A couple of final comments on the P&L. Amortization amounted to $18.2 million in the quarter. Interest expense was $19 million and other income amounted to $1.5 million. Our effective tax rate was 19% in the quarter. This rate is before discrete items and is adjusted for the timing of stock option exercises. This also excludes a $23 million one-time non-cash discrete tax benefit relating to the favorable settlement of a tax audit. Fully diluted shares amounted to 21.4 million, which is approximately a 3% decline from the prior year. Adjusted EPS for the quarter was $9.65, a 5% decrease over the prior year or a 3% decrease excluding unfavorable foreign currency. On a reported basis in the quarter, EPS was $10.37 as compared to $9.69 in the prior year. Reported EPS in the quarter included $0.24 of purchased intangible amortization; $0.20 of restructuring costs; a $0.09 tax benefit from the timing of option exercises that is trued up in Q4; and the one-time noncash discrete tax benefit of $1.07. The next slide illustrates our year-to-date results. Local currency sales declined 1% for the six-month period. Adjusted operating income decreased 4% or 1%, excluding unfavorable foreign currency, and our operating margin contracted 60 basis points. Adjusted EPS declined 2% on a year-to-date basis or grew 1%, excluding unfavorable currency. That covers the P&L, and let me now comment on cash flow. Adjusted free cash flow amounted to $433.4 million on a year-to-date basis, a 13% increase on a per share basis from prior year levels due to favorable working capital. DSO was 37 days, while ITO was 4x. Let me now turn to our guidance for the third quarter and the full year. As you review our guidance, please keep in mind the following factors. Market conditions are soft, especially in China. While we are not seeing a negative change in market conditions, we're also not seeing a significant improvement. We believe we are well-positioned to capture growth opportunities through our Spinnaker sales and marketing program as well as our innovation, which includes several product launches, which we discussed last quarter. We continue to execute very well on our margin expansion, productivity and cost savings initiatives. And as previously mentioned, we will start to benefit from easier prior-year comparisons during the second half of the year. Lastly, as you update your models, keep in mind, our 2025 results will face a sales headwind of approximately 1.5% as we recapture delayed shipments in 2024 from 2023. Now turning to our guidance. For the third quarter of 2024, we expect local currency sales to grow by approximately 1%. We expect adjusted EPS to be in the range of $9.90 to $10.05. Currency for the quarter at recent spot rates would be an approximate 1% headwind to the third quarter sales and adjusted EPS. For the full year of 2024, we expect local currency sales to grow approximately 2%, unchanged from our previous guidance. We expect full year adjusted EPS to be in the range of $40.20 to $40.50, which compares to our prior guidance of $39.90 to $40.40. This includes an expected headwind of sales of 1% and adjusted EPS growth of approximately 2% from unfavorable foreign exchange. Lastly, I'd like to share a few other details on our 2024 guidance to help you as you update your models. We expect total amortization, including purchase intangible amortization to be approximately $73 million. Purchase intangible amortization is excluded from adjusted EPS and is estimated at $26 million on a pretax basis or $0.95 per share. Interest expense is forecast at $78 million for the year and other income is estimated at approximately $4 million. We expect our tax rate before discrete items will remain at 19% in 2024. We expect adjusted free cash flow of approximately $850 million, representing a conversion of approximately 100% of adjusted net income. We continue to expect share repurchases of approximately $850 million in 2024. That's it from my side, and I'll now turn it back to Patrick.
Patrick Kaltenbach: Thanks, Shawn. Let me start with some comments on our operating businesses, starting with Lab, which grew approximately 1% compared to last year. We had good growth across most of the portfolio, especially in Europe, and we also had good growth in the Americas. We continue to benefit from our refreshed portfolio of innovative solutions and our Spinnaker sales and marketing program as well as our diversity across end margins and applications. Our industrial sales for the quarter were in line with our expectations and were down 5% with sales growth in Europe, offset by a significant sales decline in China. Product Inspection sales were up 3% on good results in both Europe and the Americas, although market conditions with food manufacturing customers are still challenging. We have also seen very good demand for our X-ray inspection technologies, which has benefited from recent innovations. Lastly, Food Retail sales declined in line with our expectations against significant project-driven sales growth in the second quarter of last year. Now let me make some additional comments by geography. Starting in the Americas. Our sales grew 2% in the quarter with good growth across Lab and Product Inspection, while retail declined against significant growth in the prior year. Our results were a bit better than expected and while we observed longer customer purchasing cycles, we see good customer engagement and feel that our team is competing very well. Sales in Europe were better than expected and grew about 6% in the quarter. Our results included very good growth from both Laboratory and Industrial. Our teams continue to compete extremely well considering challenging economic conditions and are doing an excellent job leveraging our updated portfolio of innovative products. Additionally, in Europe, we have the highest proportion of sales through our own direct sales force, and they have shown excellent execution in leveraging our Spinnaker sales and marketing program to achieve these results. Lastly, our Asia and Rest of the World results were in line with our expectations and included the significant sales decline in China as expected. We continue to see soft demand from most end markets in China, but we still expect to return to sales growth in the second half due to much easier year-ago comparisons. Our China team remains agile and has implemented advanced customer mapping and database enrichment to identify potential sales opportunities as they arise. As we have mentioned in the past, strength in China can change quickly and our team remains ready to take advantage of growth opportunities. One final comment on our quarterly results. We continue to see very good growth with service across most business areas and regions. Our service business grew 6% this quarter, which was on top of double-digit growth in the previous year. Those are all my comments on the business for the quarter and now I would like to share with you additional insights on how we are strengthening our business to continue to gain market share and emerge from the market downturn in an even stronger position. Earlier this year, we shared with you how we are rolling out the next wave of various corporate programs, such as our sales and marketing excellence programs, Spinnaker 6, and the sophisticated data analytics being implemented to support our enhanced program. An important enabler of this initiative is our Blue Ocean program, which is our global process harmonization initiative, all built on a single instance of SAP. We have invested in this initiative for over 15 years, harmonizing and centralizing processes that touch all elements of our business. From sales and marketing to service our supply chain, product development, and our finance, HR, and other administration functions. With Blue Ocean, we have been able to harness the significant diversity and complexity of our business and turn it into a very powerful competitive advantage that many smaller private companies in our industry cannot match. Blue Ocean also provides us with valuable real-time business intelligence insights, allowing us to react quickly to changes in the business and operating environment. We have implemented advanced dashboards to ensure real-time reporting of KPIs across our business and are leveraging advanced software solutions to make better decisions faster. Our digitalization efforts have been a source of productivity improvements with much more ahead of us that will allow us to automate many renewal activities creating seamless end-to-end processes with meaningful productivity benefits. Blue Ocean has also enabled global shared service centers that drive process excellence, quality and productivity. In recent years, we have improved our Blue Ocean template to add new features and functionality, including adding e-shops, advanced procurement solutions and sophisticated service pricing analytics. A great example of this enhanced functionality is service technician scheduling, which can be a very complicated manual task. There are several factors to be taken into consideration when scheduling the assignments such as customer location, number of devices, age of the devices durations. We have been able to automate or semi-automate this process and then also apply enhanced real-time traffic imaging to outline the best routes. Now that we have rolled out Blue Ocean to nearly all of our entire organization, we have a strong foundation to push for new capabilities out into the entire organization at a rapid pace. Blue Ocean is the backbone supporting the next wave of several corporate programs including our new Spinnaker 6 sales and marketing initiative. This includes the rollout of advanced version of our Top K program, which are targeted investment alerts we create by using sophisticated data analytics to scan our internal CRM and external databases to identify new growth opportunities. In the past, these alerts were manually qualified and static reports were generated by our sales team in one or two releases per year. Today, our team is integrating advanced software solutions to automatically qualify and feed these leads real time into our CRM for much quicker response by our sales teams. This also enables faster generation of cross lead opportunities across our business units. Additionally, customers utilizing our customer portal today offer standardized purchase recommendations based on items in their cart. In the near future, these recommendations will be tailored to an individual customer's current installed base and application requirements, enabling more personalized suggestions. We are also expanding our capability for self-service, which, today, includes the ability to access calibration certificates or request service or remote diagnostics and remote service. And in the future, our platform will support new business models around consumables reordering and preventative maintenance and supports the rollout of our advanced cloud-based software solutions. Overall, Blue Ocean has been a long journey, starting from a goal to consolidate roughly 70 different ERP systems into one standardized global business system. From there, we have expanded the project to support new features, business models, and advanced productivity initiatives around automation across the company. As we look to the future, Blue Ocean is at the core of enabling new sales growth and margin expansion opportunities we have today. It makes us more agile and supports fast digital innovation as our central implementation allows new ideas and digital business models to be scaled globally at a rapid pace. It provides real-time visibility across the entire value chain and our business units globally to support data-driven decision-making and reallocation of resources. Significant productivity gains are enabled with bots in the AI-supported automation, and it allows for optimization of our global IT footprint with scale cybersecurity, global applications, and life cycle management. Finally, it is a platform to provide value to our customers, which includes connecting to our digital products and service offering while enhancing their empty experience. And as I mentioned earlier, these capabilities are a powerful competitive advantage that many of our -- that many in our industry do not have the ability to or resources available to replicate. Now this concludes our prepared remarks. Operator, I'd now like to open the line for questions.
Operator: Thank you for the presentation [Operator Instructions] And your first question comes from the line of Dan Arias from Stifel. Please go ahead.
Dan Arias: Shawn and Patrick, Europe seems to be doing pretty nicely right now, especially given some of the macro conditions that exist in some of those countries. What do you think is driving that and what do you think is making the biggest difference between that region and the Americas when it comes to revenue performance and growth?
Patrick Kaltenbach: Yes, we are very happy with our position in Europe and how well our team competes there. I mean a lot of the success is based -- as we also said in our earlier remarks that a lot of our sales team in Europe is through our direct sales channel, and we are competing very effectively with our Spinnaker sales and marketing tools and how we direct our sales force. On top of that, we have launched a lot of new products over the last two years and with these platforms, we compete very effectively in Europe. I would say the customers in Europe really appreciate the innovation. We see that also in comparison to many other players in the market, and we are really happy with where we are with these results. As you know, in the beginning of the year, we were more concerned about Europe given the impact of the Ukraine war et cetera but we are now seeing that we are competing well, especially with our Lab portfolio. And as we highlighted also in the last quarter before the release of our new LabX portfolio that is really resonating extremely well with our customers.
Dan Arias: Okay. Helpful. And then maybe on China, the message here sounds pretty similar to last quarter. Demand still weak, hope for growth in the back half, but mostly just because of the year-over-year compares and how those change. Can you just expand on the extent to which business conditions have changed at all? And if they have, what you think that might mean for the year? I assume the outlook is still for a high singles decline, but curious if the, is the potential for something slightly different one way or another has increased? And then it would just be great to get your updated thoughts on stimulus from here, just given how topical that is.
Patrick Kaltenbach: Yeah, correct. And yes, I mean, China, as you said, unfolded as we expected in Q2. That said, you also had -- I want to remind you that we still have positive growth in the second quarter last year. When you look at the end markets, it has been soft across all of our end markets. So there's not a single market I would point out here at this point in time. And given the softness, we also think we want to maintain our guidance for the rest of the year. As you rightfully said, we expect high single-digit decline for the full year. That said, it means also that we will see positive growth in the second half and that's based on easier compares. I would say, when you asked about the stimulus program, you have not yet seen the impact of the stimulus. I mean what we see is that the stimulus this time is different from the stimulus that have been launched probably last year or the years before. This one seems to be much more focused. I think the Chinese government calls it focused on high-quality segments aiming at segments of AI, new energy, biopharma and new materials and our teams are working very closely with our customers to also help them prepare for the applications. We have prepared bundles that they can basically can also apply to these applications. We have not built in any effect of the stimulus in our guidance for Q3 and Q4. We think that will be mainly the 2025 topic.
Operator: Your next question comes from the line of Rachel Vatnsdal from JPMorgan.
Rachel Vatnsdal: I just want to dig first in core industrial that was down 9% in the quarter. I think you guys had pointed us towards high single-digit declines. So can you just unpack that for us a little bit? How did that trend as it reached into June and July and better than kind of what you started off in the quarter? And then also, can you just walk us through segment expectations for Core Industrial for the rest of the year? How should we think about 3Q and then the full year as well?
Shawn Vadala: Hey, Rachel, this is Shawn. I'll take that one. So like you said, I think the division kind of came in pretty much similar to how we expect to being down 9%. I think a key thing to remember in industrial is that it's very disproportionately weighted by China versus our other product categories. So we did see Industrial business down very significantly in the quarter, kind of similar to the lab business. As Patrick mentioned, we saw the downturn in China in the quarter, pretty similar across both product categories. When we kind of look outside of China, we did see, of course, better activity. We see sometimes differentiated performance depending on, like you said, the segments of the market. Certainly, where we see companies that focus on automation and digitalization and process control, we clearly are seeing better opportunities in those segments. There are other aspects of the economy that I think are a little softer at the moment but I think our teams have been very resilient here. I think our portfolio is very strong and robust and I think our go-to-market strategy with our Spinnaker program continues to be really a differentiator in the industrial areas. We've been able to target specific opportunities in the market. And as we kind of like step back from the business. One of the things I think is most exciting is I think a lot of the discussions around reshoring and near-shoring opportunities are still yet to come. And so I think as we kind of look to the future, we're a little bit more optimistic here.
Rachel Vatnsdal: Perfect. And then just my follow-up. Can you just walk us through segment level and geography expectations for 3Q and the full year as well?
Shawn Vadala: Yes, sure. So, hey, maybe I'll kind of run it down from the top here with the products. So our Laboratory business, our guidance for Q3 is up low single digit and for the full year, it would be up low single digits to up mid-single digit. Our Product Inspection business would be up mid-single digit for the third quarter and for the full year, up low single digit. Our Core Industrial business would be up low single digit for Q3 and flat for the full year and our retail business would be down in the mid-20s for Q3, and down double-digit, which is a little bit of a decline from how we were thinking last quarter for the full year. By geography, we expect the Americas to be flat in Q3 and up low single digit for the full year. We expect Europe to be down slightly in Q3 and up mid-single digit for the full year, and we expect China to be up low single digit in Q3, and as we said before, down high single digit for the full year.
Operator: Your next question is from the line of Vijay Kumar from Evercore.
Vijay Kumar: Hey, guys, congrats on this execution here. I had two guidance-related questions. One on the third quarter, maybe, Shawn, for you. Your comps get 700 basis points easier, right, the 1% seems a little light. Curious on the thought process for 3Q.
Shawn Vadala: Yes. Vijay. Hey, we felt very good about our performance in the second quarter. We did do better than expected and we're not seeing any negative changes in the business, but I acknowledge we continue to be a little cautious here. There still are a lot of uncertainties in the macro. We also saw the PMI numbers the other day. In our end markets, we still see longer cycle -- sales cycles. But the other side of that is we do feel like we're competing really well and I think we are continuing to take a little bit of market share each quarter. These new products have been very well received in the market from what we can see from some initial results but nonetheless, there's still some uncertainty. And we -- as you know, we typically only have about 1.5 months of backlog. So we'd like to just kind of get through another quarter here and then have a little bit more visibility as we kind of get into the end of the year.
Vijay Kumar: Understood. And Patrick, maybe one for you on -- if you look at the second quarter performance, pretty impressive on the operational side, EPS by $0.60. I think guide raise was at the midpoint maybe $0.20. So, was the guide in the back half assumptions, did it temper down a little bit? I know Shawn mentioned PMI but your business mix has changed quite a bit. Your exposure to PMI is far lesser. So maybe just comment on your back half, how you're looking at it, any change versus three months ago?
Patrick Kaltenbach: Look, a very good question and I think we've been trying to say also in the prepared remarks. We don't see a change from what we have told you in Q2, to be honest. I mean, the markets -- the performance of the end markets have foremost drove rolled out as we expected it and we also seeded for the remainder of the year. Yes, we are very proud of the fact that we beat Q2 both top and even more on bottom line. You're right. I mean, our exposure on the PMI end markets is probably a little less, but we also need to see getting more momentum in pharma and biopharma moving forward to really benefit even stronger from our strong portfolio. We are taking -- as Shawn said, we're taking, of course, a bit of cautious stance here to make sure that we also can that will live up to what we told you for the full year. We've maintained the outlook for the full year. We are pretty confident in 2% growth for the full year, but we need a little bit more visibility moving forward, to be honest. Our sales team and the engagement we are seeing of our sales team with customers is excellent. We have a lot of good leads, but sales cycles still take longer and customers are still also living through the uncertain market environment, especially in China, the customers are really cautiously spending until we have better guidance also from the government on the path forward. But also in the Rest of the World, in some of the areas where we see with, for example, larger pharma accounts, big better momentum. We see that smaller pharmaceutical accounts and biotech accounts are still under pressure given the high interest rates. So if you sum all of that up, I think we are still where we have been a quarter ago in terms of market dynamics. So, if you think it didn't get worse, but we also we still are looking forward to see better momentum, to be honest, and to change our guidance. And at the moment, I think we are really well positioned with the 2% guidance for the full year.
Operator: Your next question is from the line of Jack Meehan from Nephron.
Jack Meehan: I wanted to start ask about China again. I was wondering if you could provide color about what you're seeing across customer classes like pharma biotech, academic versus industrial and whether any of the regional dynamics are different across those.
Patrick Kaltenbach: Yes. I mean especially on Q2, again, we have seen not a huge difference between the different market segments or end customers. They're all being pretty much down the same level with a few percent up and down. I want to remind you that again, our end markets or our end customers in China are about 60% or more than 60% are local companies, about 15% are multinationals and about 25% is government state-owned companies. But within that, we want in that segment and also the underlying end markets, whether it's industrial or pharma. Not a big difference. As I said in my earlier remark here is, there is, again, a lot of cautiousness in the end market. The customers really want to see how the government stimulus plays out and they need to have more confidence before they invest more. I think we are competing very effectively with a portfolio in China. Our local China team is very well connected to our customers. As I said, they are preparing or helping our customers to pay for the application for the stimulus, et cetera. We set up specific bundles. We have a lot of localized solutions for China. So we are not concerned about the local competition when you look at the end market is really the, I would say, the overall mood in the market and the readiness to increase investment.
Jack Meehan: Great. And two follow-ups on China. On stimulus, I just want to understand the dynamic in the quarter. Is it possible that the discussion around stimulus actually led to some pause from some customers to kind of to wait for when the funding shows up? And then second is on the pharma and biotech side, have you seen any impact from the BIOSECURE Act?
Shawn Vadala: Yes, Jack, maybe I'll take that one. So hey, in terms of like this air pocket topic, we're not hearing that from our teams. Not to say that maybe there's some psychology out there, but we're not hearing that at the moment. And then in terms of BIOSECURE we're not necessarily hearing any impacts of that, maybe a little small but of course, when you look at the bigger topic, ultimately, we would expect to see opportunities in other parts of the world with other customers as well, too.
Operator: Your next question comes from the line of Matt Sykes from Goldman Sachs.
Matt Sykes: Patrick, I just want to touch on something you mentioned when you're discussing the strength you've seen in Europe, which is a higher exposure from your direct sales force in that region. I'm not entirely clear about direct sales force exposure across regions outside of Europe. But I'm just wondering, given the success that team has had in executing Spinnaker and in the quarter, does that make you want to reinvest in a direct sales force where you might have gaps versus indirect or are you -- do you feel pretty good about where you are in terms of direct sales force exposure globally?
Patrick Kaltenbach: Very good question. Thank you for that. Look, I mean, we're constantly evaluating of where we stand in terms of go-to-market strategies and channels that we have in the end markets and what are the best fit for the end markets and that's true, by the way, for both players -- that's true, of course, for our sales. And as I said, in Europe, we have a lot of direct sales force to our end customers. They are using the Spinnaker sales toolsets very well. We also have a strong direct sales team in the U.S. In other parts of the world, we're using sometimes indirect sales channel, but we are constantly evaluating that. When it comes to investment in sales channel. We are looking at it from a coverage perspective. Do we really cover all the important end markets around the world? Do we also cover the -- what we call the hot segments well enough either direct or indirect? So it's a very differentiated approach we take worldwide of how we look at this. And if we are thinking about investment, it's, first and foremost, dependent is the underlying market momentum there to increase our sales force. We also look at the same way, for example, services. In services, we see very healthy growth. I would say, in the last quarters, we have continued to invest in services, building out our service capabilities and also strengthening our services team. And that's also a good opportunity for us to move -- moving forward.
Matt Sykes: And if I could just follow up on that services growth. You mentioned, I think, up 6% in the quarter. You've consistently driven sort of mid-to-high single-digit growth in services sometimes higher. Could you just give the mark-to-market? I remember at the Investor Day, you had a few years ago, that was a key initiative of yours. Could you maybe just talk about how that exposure to services has grown and where you think there still is room to continue to drive that services growth higher as a proportion of overall sales?
Patrick Kaltenbach: Yes, absolutely. Look, I mean, services, again, is a really strong hold of Mettler-Toledo. It's also one of the key different changes we have against many other companies out there. We have probably the strongest services organization their compared to other competitors of our size. We continue to invest not only in the size of the service team, but also in the portfolio of the services we are offering to make sure that we have unique and differentiated offerings for our customers. It has a large installed base of instrument there and a good part of that is still in touch with our services. So what we're also investing in at the moment to go after the installed base with a stronger inside sales and telesales force to make sure that we get in touch with these customers, tell them about our updated service opportunities and then moving forward, hopefully, also increase the amount of products that we have on the service contracts. So I think it's an excellent opportunity. Again, it's definitely something we keep a strong eye on and also invest in even through the downturn that we have seen last year, we continue to invest in service and I think it's paying back now. As I said, we had double-digit growth last year and even this year, based on the tough compares, we're still seeing very good growth with 6% we see. And as a final reminder, you know that services is the most popular part of our business.
Operator: Next question is from Dan Leonard of UBS.
Dan Leonard: My first question, Patrick, you zoomed in on share gain in your prepared remarks. Is it your view that share gain for Mettler is accelerating or are you highlighting these efforts as supportive of that historical one point of share gain?
Patrick Kaltenbach: That's very -- it's a good question, but it's really hard to say about how much share you gain per quarter. I wouldn't look at as a quarter-over-quarter topic and, of course, we compare our results to what we are hearing from our competitors, and we are very pleased of how we perform even in this difficult environment. But as we also made clear, for example, on the Investor Day, on average, we own probably about 25% market share. So there's ample of room for us to gain additional share and that's why we're also investing into innovation and driving our innovation to market because this is what customers are looking for and they are looking for products that help them to become more productive, to help them with data integrity, to help them on the automation side and that will be a path for us to continue the market share gains. And we don't make big market share gains per year, but we do make small chunks every year whether it's currently accelerating or not, hard to tell, I would say, given the performance of the products compared to many competitors, we are happy with the performance, and we're seeing market share gains.
Dan Leonard: Appreciate that. And then as a follow-up, this earnings season, a few of your diversified peers have announced upsized share repurchase programs and specifically flagging that the M&A target environment is still incredibly, richly valued. I'm curious your thoughts on that environment.
Shawn Vadala: Hey Dan, this is Shawn. Maybe I'll take that one. I mean, as you know, we're very -- we think we're a great platform for acquisitions. When something is strategic and makes sense, we usually can move pretty quickly, but we're also very selective. And -- but absent share repurchases, we use our free cash flow to buy back shares. We feel good about how that program has worked over the years and I think part of the success is our consistency in how we execute it. And so we continue to look at it the same as we looked at it in the past and I think you'll see us be consistent with our share repurchase program. As a reminder, this year, I think our estimate is about $850 million, which approximates our free cash flow estimate for the year and absent if we did identify an acquisition opportunity.
Operator: Your next question comes from the line of Michael Ryskin from Bank of America.
Michael Ryskin: Shawn, maybe one for you. Just looking at the EPS guide through the rest of the year and the quarterly progression, it seems like you're a little bit of a step-up in margins in the third quarter and a bigger jump in 4Q. That's pretty consistent with what you've done historically. There's a lot of volume leverage in the fourth quarter. Just wondering if you could dive into the nuances of that margin expansion now. How much are we seeing on the gross margin line versus SG&A? Just any additional color you can give us on a quarterly basis, just confirming that.
Shawn Vadala: No, I think you got it spot on. It's going to be very much about the leverage on volume. If we look at our gross margin estimates for the second half of the year. I'd say that probably on a full-year basis, we're probably up a little bit from what we were thinking last quarter. As you could see, we did pretty well in the third quarter versus our expectations. And, of course, a part of that was also doing a little bit better on the volume. For Q3, we're kind of estimating gross margin expansion in like the 60 bps kind of a range and for the full year, and that would be maybe 50 bps, excluding currency. So currencies are a little bit inverse of what we would have seen in terms of how they affect the margins, at least the moving pieces versus Q2. And then for the full year, our gross margin estimate is about 70 basis points, which, again, is up a little bit from what we were thinking last quarter. And then in terms of the operating margin. The operating margin for the third quarter estimate is down about 50 bps and then for the full year, it would be up about 40 basis points. And again, these numbers are also at the midpoint of our guidance, too. So things could be a little bit better or worse depending on how we do. But otherwise, I'd say the teams are executing really well. The pricing program continues to do -- be very effective. Pricing came in at 2% in the quarter, which is in line with our expectations. We continue to expect 2% for the full year and then our teams are doing a really fantastic job working on our various productivity in cost savings initiatives. And then maybe also to comment on our SternDrive program is driving some nice efficiencies and cost savings in the margin line.
Michael Ryskin: Okay. That's all really helpful. Thanks, Shawn. And then one more to the guide. A number of other tools, peers talked about, expecting a return to more traditional seasonality as the year goes on and I mean, referring both to a little bit in 3Q in Europe and then maybe a little bit of an end of year bounce. That's implied in your guide as well. But you've also got the weird comps last year from the shipping delay. So if you could just walk us through like what are you expecting from the seasonality perspective? Is there any view on budget flush at this point? I know it's not a huge driver for you, but still just what are you thinking about there?
Shawn Vadala: Yes, we are expecting things to start looking a little bit more like seasonal -- typical seasonality if you adjust for the shipping delay topic. Probably the best way -- but maybe not 100% back. But if you kind of -- I think the best way to look at that is to kind of take our sales guidance and look at the sequential and then you can see the sequentials are, I think, pretty reasonable versus historical results depending on how far back you go, adjusting for the shipping delay topic. So that gives us some confidence for the back half of the year. In terms of budget flush, as you say, we're typically not a budget flush story. But nonetheless, I think we all did feel Q4 last year. I'd say it's still a bit early to judge. As Patrick mentioned, we still see longer sales cycles with the customers but at the same time, we're only typically sitting on 1.5 months' worth of backlog. And -- but otherwise, I think we feel like there probably should be something this year versus relative to last year. But the magnitude is obviously difficult to judge, but we do feel good about how we're positioned here for the second half of the year from a sequential basis.
Operator: Your next question is from the line of Josh Waldman from Cleveland Research. Please go ahead.
Josh Waldman: Two for Patrick, I think. First, Patrick, I wondered if you could talk a bit more about how Product Inspection performed versus your expectations. I'm curious what you're seeing in the business across kind of the major geographies and end markets and how orders have tracked over the last couple of months.
Patrick Kaltenbach: Product Inspection actually we are quite pleased with the result. I mean we know that the end markets are still under pressure, customers are cautious with their investments. We know that deal cycles are longer still, but we have launched a lot of new products over last year, mainly in the X-ray business demand and we also broadened our product offering from the high end into the midrange portfolio that opens also a lot of stores for us now. So, I think we have a really good healthy engagement of our sales teams around the globe with our portfolio. So we have a healthy funnel there but I would say the caveat is still that sales cycles are longer and customers in some areas are cautious with investments until they also see the underlying market picking up. The upside for us is the new portfolio. We're competing very effectively. And again, with the broader portfolio also seeing probably more customers than we have seen before.
Joshua Waldman: And then maybe a question and a half or so on Lab. Any sense on if the upside in the quarter was from better funnel conversion or did you also see new opportunities coming into the book a higher rate than you anticipated? And then maybe a follow-up question, I think. Do you get the sense that there's a change in customer buying such that accounts are more willing to work with you directly as opposed to exclusively through the distribution channels?
Patrick Kaltenbach: Well, let's say, I mean, this is a very broad question. Let's focus on the Lab products right now. I mean, we see them that with our portfolio, we are competing very well. We have launched a new platform there as well. We saw also some bigger projects and especially in Europe, converting in the first half and the second quarter of the year. So that is, again, I think we are in a good position when it comes to our portfolio competing effectively in the market. But on a -- I would say in the grand scale of things, it's not like there is a significant change in customer buying behavior right now. The end markets, as we lay it out and the behavior has been laid out, it's still rather soft, especially in China but in Europe, we have seen good momentum. We also have seen in the last quarter, the Lab business in the U.S. picking up. So I think we're in a good position and the parts of the market recovers, I mean the more momentum we can capture with this portfolio, to be honest.
Operator: The next question is from the line of Patrick Donnelly from Citi. Please go ahead.
Patrick Donnelly: Shawn, this is one for you. You sounded a little more, I guess, optimistic on the Core Industrial outside of China, so maybe we can focus on that piece just for a second. The industrial complex is a little softer in terms of commentary of this earnings season. Just curious what you're hearing in the developed world here, how you're thinking about that core industrial piece, what you're hearing from customers and there's a little bit of optimism, the right way to lead it?
Shawn Vadala: Yeah, no, thanks, Patrick and good question. I mean I think it depends a lot on what segment of the market we're talking about and probably what you picked up on in my voice was just that we have -- this is the business historically, right, when people would say, hey, can you talk about your cyclicality, we would say this is historically the part that's been exposed to the economy more than our other businesses. And then if I look at Europe, I mean, yes, Lab did a lot better than Industrial in the quarter, but we still had growth in Industrial and that's against a backdrop of a relatively weak economy there. And so that's something that we do feel good about is the resiliency there. Part of our industrial business, of course, is supporting the same end markets as Lab like pharmaceutical, but I think it really gets into what we started to see in the quarter and some of the discussions I've had with colleagues, you hear comments around, hey, if we're talking about customers that are in the business of like automation and end-to-end process control and digitalization, those customers are actually doing pretty well. If you're talking about customers that are in the business of discrete manufacturing, and those types of segments, much more challenging conditions and I understand what you're saying because I had a similar question to our team as well, too, because we certainly see a lot of the headlines from a lot of the industrial companies this past quarter having more challenging results. So I guess it's a little bit of both. I think we're really well-positioned on some of these more favorable trends, but it doesn't mean that we're necessarily immune to the economy. But in the meantime, I think we always try to focus on what we can control, and I think the teams are executing very well both on the sales and marketing side but also on the product development side and we feel very good about some of the R&D investments that we've accelerated over the last few years in that business to lean into some of these market trends and certainly, we have a great pipeline of opportunities going forward as well.
Patrick Donnelly: Okay. That’s really helpful run through. And then just on the 2H guide, obviously, I’ve gotten a few questions here. I think someone mentioned kind of the implied raise is a little bit less than B. I mean has anything changed in your view in terms of 2H view? Obviously, you guys have the standard network conservatism a lot of times, I think people are used to it, but just how you think about 2H relative to a few months ago, again, just given that the guide change, and Shawn, even one of your answers, because we're not quite back to 100% seasonality just yet. So just how you're thinking about the market relative to a few months ago would be helpful.
Shawn Vadala: Yeah, I mean, I think we're, I mean, I think we're, you know, we always sit on one and a half months of backlog. So I think that always makes it a little challenging for us when we start going out beyond the current quarter. I think we tried to acknowledge like we're executing well, we better than expected in the second quarter, but we're not just assuming that we should add that to the second half. We do see soft market conditions out there but we do benefit also from easier comparisons. We feel good about the sequentials. There is an element of us being a little bit cautious going in the second half, but I think it's prudent to be cautious too. Like I think there really are a lot of different aspects to this uncertainty in the environment. I think we're all looking forward to seeing more robust signs of things turning, but no one really can say exactly when that's going to happen. And, of course, we're a pretty diverse business by product, by end market and by region of the world. And so -- but I think when we kind of step back and look at how we're guiding, we actually feel -- we feel good about our guidance to everybody. And of course, we're always going to look to do better but right now, we feel like this is an appropriate way to position the forecast.
Operator: Your next question is from the line of Catherine Schulte from Baird.
Catherine Schulte: Maybe first for Shawn. Just going back to your margin commentary. I think you said gross margin up 70 basis points for the full year versus the 40% you were talking about last year but then Op margins at 40% versus the 50%, you talked about last quarter. So, I guess what's being absorbed on the OpEx side where you aren't passing through that gross margin benefit and Op margins are actually down a little bit versus your prior guide?
Shawn Vadala: Yes, no, good question, Catherine. I mean I think some of this is also noise with how some of the currencies have changed over the last quarter but certainly, we are doing a little bit better on the gross margin side that I talked about earlier. And then in terms of like the OpEx side, we're still investing in the business, too and we have such a great pipeline of investment opportunities, and we're just trying to find the right balance and the right mix between realizing productivity gains, but also reinvesting in the business at the same time.
Catherine Schulte: Maybe on the Lab business, adjusted for the shipping delays recaptured in the first quarter, it looks like revenue increased high single digits sequentially, which seems very encouraging. Can you just talk through any differences you're seeing between pharma and academia and pharma, are you seeing easing in terms of the customer spend caution that we've been seeing?
Shawn Vadala: We're still -- yes, hey, we're still seeing caution in pharma, but maybe the one pocket that was stood out a little bit more it was in Europe. Patrick mentioned it in his -- one of his previous responses. When we talk to the team, you do hear that there has been some projects on the sidelines for a bit and we started to hear some of those projects converting, so that was a positive sign. But I would say that, hey, we're not out of the woods. We do hear comments about big pharma performing better than smaller companies or even getting into small biotech, where I think there's still some challenges there. But when you look at it from a a product perspective, what was maybe encouraging to us as we saw a pretty good growth throughout the portfolio with the only exception being Product Inspection, which was still kind of down a little bit from some -- I mean, not Product Inspection, process analytics with process analytics being down a little bit because of our exposure to bioprocessing. But when we look at the second half of the year, we feel a little bit better about that one.
Operator: And your next question comes from the line of Tycho Peterson of Jefferies.
Q – Tycho Peterson: Actually, Shawn, I’m going to pick up right where you left off on bioprocess. I know it's a smaller part of the mix, but can you maybe just give us a little sense on kind of upstream versus downstream what you’re seeing there. Your equipment's obviously kind of lower price points than maybe some of your peers. But just curious, as we've kind of gone through a long period of destock and thinking about restock, where are we in kind of that cycle for you guys?
Shawn Vadala: I think we feel pretty good. Maybe I'll start and Patrick wants to chime in. But like I'd say we're, I don't know if you'd say 8th inning, Patrick or so, but we're getting pretty close there. I mean, we definitely feel very encouraged as we kind of go in the second half of the year. If you think upstream and downstream we were seeing a lot of particular headwinds in our downstream business. For us also, that was where we're more exposed on the single-use side. So that could have been part of it as well, too. But when we kind of look to the second half of the year, all the data and even just the qualitative discussions we're having with the team and more importantly, customers points to a much more favorable situation for the second half.
Patrick Kaltenbach : Yes, absolutely. I can confirm that. I mean, again, if you want to differentiate a little bit about the regions in the U.S. and Europe. You asked about destocking issues, I would say in Europe and the U.S., we have the destocking issue behind us. There's some residual stocking issue that we're still facing in China but what we are hearing from customer, that also should be over a quarter or so.
Q – Tycho Peterson: Great. And then, Shawn, question about pricing. First, I mean, I assume the assumption for this year is still about 200 basis points, but -- then more importantly, going forward, as inflation starts to pull back, should we think about you guys getting to pre-COVID levels around 250 bps per year?
Shawn Vadala: Yes, Tycho. I understand the question, but I think it's probably a little bit earlier for us to kind of think about how we would guide for next year on pricing. And hey, just to also maybe remind of like how we historically guided, we typically were -- I don't think we've ever necessarily -- expect for the last few years during this inflationary environment, we're never typically guiding more than 200 basis points even in the more historical inflationary environment. So, hey, if we can do better than that, of course, we will. But I kind of look at 200 basis points as a mid-to-long-term guide is probably a reasonable assumption.
Operator: And this concludes our Q&A session for today. I would like to hand the call back over to Adam for closing remarks.
Adam Uhlman: Thanks, Paul, and thanks, everybody, for joining our call this morning. Please feel free to reach out to me if you have any further questions. And I hope you all have a great weekend. Take care. Bye.
Operator: This concludes today's conference call. Enjoy your weekend. You may now disconnect.